Operator: Hello, and welcome to the 2020 annual results presentation. My name is Monique, and I'll be your coordinator for today's event. Please note this conference is being recorded. [Operator Instructions] I will now turn it over to your host, Daniel Julien, to begin today's conference. Thank you.
Daniel Julien: Thank you very much, Monique. Good morning, good afternoon, depending what place you are in the world. It's a pleasure today for the management team of Teleperformance to present you the annual result of 2020. That was a very, very difficult year for the world, for the economies and for the people. Fortunately, we have been lucky enough to continue to build a strong company as you are going to see now. Next, please. Next, okay. Here we are -- no, please come back. Come back, please, here. Here we are, at December 31, 2020, the headcount of the group was 380,000 employees, which means that during 2020, we created net 50,000 jobs all around the world. That's something that I'm very happy with. Usual information, we speak almost all the dialects, you can imagine. We are in 83 countries. We serve 170 market. And more importantly, more importantly, at the end of 2020, we had 250,000 employees working for home, 2/3 of the group. So next, please. The highlights, very simple, record growth, almost plus 12% like-for-like. A sharp acceleration in the like-for-like growth in the last quarter of the year, plus 23%, something we have not seen for many, many years. A very resilient profitability despite the disruption of the COVID. We show an EBITA margin of 12.8% and an actual amount of €735 million despite the near shutdown of our Visa business and despite the additional costs created by the move from brick-and-mortar to work-from-home. And finally, at the end of 2020, we delivered a net free cash flow of almost €500 million which is very significantly superior to last year. So we are going to propose to the general assembly of the shareholders to maintain the €2.40 dividend per share, unchanged from 2019. And specifically, we are able to do that because we are extremely confident in 2021.  Next, please. What is extraordinarily important to understand when you consider the year 2020. You see that January, February, we had a growth that was in the plus 8%, more or less in our guidance. Then 15th of March, the world stops. And the second half of March is dramatic and we end March with 0 growth. April. April with minus 3%. But during these 6 weeks, we mobilize the group like a D-day operation. And during the 6 weeks, we passed all over the world from less than 10,000 people working from home to 200,000 people at beginning of May. And this was an incredible logistic mobilization engagement of all the teams of Teleperformance all over the world and our ability, our agility and ability to continue to answer the service to our clients helped us to grow, and you see that starting June, and since June, every single month has been above double-digit growth to finish by the quarter you see. Next, please.  In fact, I think that -- next please. Thank you. I think that we have been able to do that because from the day 1, we are very clear on our priorities. We said we have 3 priorities: protecting the employee health, protecting the business, protecting the cash. And obviously, the logic was to pass, to work at home. And this work-at-home has been managed like, I would say, Navy Seal operation, the executive management of the group had meeting -- several meetings several times a week. The Board of the group was meeting every 2 weeks and we use to measure the progress every single day. Being the crisis of -- the COVID crisis being here for a long time and definitely not over beginning of last summer. Our R&D teams decided to build an integrated digital platform to manage our employees from remote. This platform is called Teleperformance Cloud Campus, and we hired the employees digitally. We trained them digitally. We monitor and we manage them digitally, and we give them the second life, the virtual life, the campus life, virtual at TP. At the same time, as the situation of the group was very solid, we decided in June, because we are very confident that the worst was behind us, to maintain our dividend to the shareholders in June. And we continued our acquisition strategy acquiring a high level kind of digital and human concierge business for the health care in the U.S.A. as advocate. This acquisition has been signed in 2020, but will be closed only when we will get all the authorization of the U.S. authorities. We got federal authorization, but now we still have to get the authorization of California because we are operating also a little bit in California. It takes few more weeks than what we were expecting, but we should be able to start to consolidate as Advocate sometimes during the second quarter. Next, please.  Next, please. Okay. I'm going to be fast. This -- and you will be able to read that these are the thank you note that we received from some of our clients all over the world. I have to tell you that we received also thank you note from some prime ministers for our support to the COVID line specifically in the European region.  Next, please. Okay this is the Everest Group peak metrics and where you see clearly Teleperformance in the right-hand corner with the Star -- Leader and Star Performer, above all the competition and at least it's the market perception that comes to confirm the numbers that we were showing you. Next, please. We are extraordinarily focused on delivering an outstanding environment and social responsibility, at delivering an environment and social good governance. This is in our values, and in our philosophy of diversity and equity. We signed the UN Global Compact 9 years ago. In 2020, we got Certified Great Place to Work. I remind you that Great Place to Work is independent third-party organization that makes a deep survey to our employee base country per country and that the status of Great Place To Work is definitely given by Teleperformance employees. We were able to pass from 70% of our employee base working in Great Place To Work to 87% at the end of the year. And we got the usual certification, Verego, Vigeo, MSCI, FTSE4Good. We got certified by all the actor who survey the environment and social responsibility governance. Thank you. Next, please. And for the next, please, we are going to see the strategy. Next, wait, yes. So the vision is very simple. Teleperformance is becoming a leading global group of digital integrated business services. In fact, using high tech and high touch, plus knowledge services, we bring a unique selling proposition to our clients, which is that we are going to help them to develop simpler, faster, safer, better, more cost-effective interaction with the customer or citizen. As I said, we are all about diversity, and we are all about fighting the global warming. And so we integrate in our management indicators and measures of the indicators that could be considered as qualitative, but our gender diversity, our carbon footprint and so on. The world is challenged. The world is challenged because there is a digital disruption plus the health disruption. And the economy is disrupted as well because you have the digital disruptors and the traditional more, the brick-and-mortar, more traditional disrupted companies. And everybody needs today an agile transformation that implemented with a lot of discipline to overcome the global health crisis and to continue to grow.  And in 2020, we had an acceleration of the digital business. And that was super positive for Teleperformance because it's something that we had anticipated way before. And so the growth, the strong dynamic of the e-commerce, e-service, e-streaming, e-entertainment, e-learning, e-government has been more then able to cover the weak or negative dynamic of the activity sector that were very negatively impacted by the crisis, the crisis.  I mean, the transportation airline, hotels and, of course, the Visa business. We are building up. Now we are with hundreds of thousands of knowledge service engineers, whether in technology, analytics and process. But we continue to build this knowledge service team at very high speed to reach the fastest possible, by the end of 2021 or mid-2022, the magic number of 2,000 knowledge service engineers able to build smart, sophisticated and efficient solution for our clients.  And finally, we extend our line of services, not being only voice. We do more and more, of course, digital channel, whether it's chat management, e-mail management or middle-office and back-office process. So we continue also to have very clear in our mind, our strategic acquisition process.  As I told you, we acquired Healthcare Advocate, Health Advocate end of 2020, and we are going to continue to make acquisitions either in 2021 or 2022. But as usual, we do not want to acquire companies that are fragile. We only want to acquire a company that have provide similar or even stronger than Teleperformance. We want them to do different things than what we do, either to serve different clients or to add expertise to the Teleperformance range of services. But we are going to continue to make acquisitions and obviously, to serve first the big U.S. market that is not just the U.S. domestic market, but the large global companies that are mostly based in Silicon Valley, but there are also large global companies that are based in China today, and we keep a strong focus on that. Next, please. I already presented the Health Advocate company and it's a very specific company who helps the employees of our clients to take better advantage of the health coverage in the mass of the U.S. health care market. This is a sophisticated company with a proprietary ERP platform and that delivers excellent margin for the group. Next, please. This is not going to be new for you. The high tech, I mean the robust infrastructure, the data security and the smart technology, digital, analytics, RPA and so on. And Teleperformance has more than 20 proprietary solutions that improve the process of our clients. But generally, we are also an integrator of the best-of-breed technology that exists in the market. But you know what, demand -- the world is high grade. Today with a pandemic today, today with the digital, we know that demand as the world is high grade. The work organization is now and is going to be now more and more partially brick-and-mortar, partially work from -- remote. The economy is also hybrid. We have a digital economy and we have a brick-and-mortar economy. And so somehow, during the time of pandemic where there is a lot of anxiety and people are at home, they tend to have more interaction with the company. They buy product or service from always government. And I can tell you something, in 2020, the star, the star was named empathy, human empathy. But to be able to deliver human empathy, you had to have a very strong technology. The star is the empathy. The art director, I would say, is the technology. And so the future of our world is an augmented level of service, I'm going to say a bionic service.  Next, please. Okay. Finally, every large company find its resilience in its purpose. And for us, our purpose is to be a force of good and to bring positive outcome for our different stakeholders. Of course, for our shareholders. But first, for our clients. And even before our clients, first, for the employees and the communities where we operate. And we decided to have now a global sustainable ESG management model. And that's why for 2021, we are going to make sure that we have more than 90% of our employees working in a Great Place To Work Teleperformance organization. We are going to decrease, and not only in 1 year but in several years, our carbon footprint and making sure we use more renewable energy. And we are very, very focused on gender balance. And I have to tell you that we were extraordinarily proud a few days ago to receive the accolade of the Indian Chamber of Industry and Commerce for our outstanding management of diversity in India. When you know what is the situation in India, you understand that we are a force of good there. Like in many other places, like in most of other places or maybe all other places. Next, please. Next is the management of the group. Of course, in a group of 380,000 people, you can imagine there are several other people that are very important. And by the way, I systematically have a CEO webcast with the top 20,000 managers of the group. Then you have a line of 2,000 directors. Then you have a line of 2000 directors. Then you have a group, the global management group, who is made of a little bit more than 30 people. And then you have the Executive Committee where you find Bhupender Singh, who used to be the CEO of Intelenet that we acquired 2 years ago. And Bhupende is the global chief our transformation, is in charge of knowledge services, R&D, marketing, Lean 6 Sigma discipline, IT and data security. Then -- and he is an Indian citizen. Then you have Eric Dupuy, France citizen leaving in the U.S. with a Global Chief of Business Development. Miranda, who is with the group for maybe 20 years, even if she is a young lady, as you can see. And is a Global Chief Client Officer of the group, she is U.S. citizen. Agustin Grisanti, who is the global Chief Operating Officer of the group and he is citizen from Argentina in Spain. Scott Klein, the President of our specialized service line, LanguageLine Solutions, the beautiful company. TLScontact usually beautiful company and that will come back to be a beautiful company when travel is going to resume, probably more in 2022 than 2021, the recovery management and Health Advocate as soon as we can consolidate. Olivier Rigaudy, who is Deputy Chief Executive Officer and the Global CFO of the group, French. Scott is U.S. citizen. And Leigh Ryan, who is our Chief Legal Officer and who is a U.S. citizen. So as you can see, an executive committee made of U.S. citizen, French, Indian and LatAm leaders, diverse, like our Board that is extraordinarily diverse.  Next, please. So 2021, and we are end of February. So we -- I can say that we have a reasonable good level of visibility -- that's not 2021, excuse me. This is 2022. This is we maintain the drive that we gave a few years ago saying that we would make €7 billion in revenue by 2022, and we will have an EBITA margin in 2022 of 14.5%. And you are going to see a little bit later that '21 is -- from 2020 to 2021 to 2022, '21 is -- we're in the middle.  Next, please. That's it for me. And now I'm going to give the floor to Olivier Rigaudy Deputy CEO and Chief Financial Officer of the group.
Olivier Rigaudy: Good evening, good morning for those who are in U.S. or good afternoon. Thank you to be there. I'm going to present you quickly the 2020 annual results and we are going to start, of course, by the P&L summary. I'm sure you see the figure. I just wanted to highlight 2 things, which seems to be important to notice. First of all, as you can see, the like-for-like growth in 2020 is above the 2019 growth that was already achieved last year. So we are at 11.6% versus 10.6% in 2019, showing this fantastic growth. Secondly, we delivered an EBITDA figure of €735 million, which is only less, €30 million less than last year with a rate of 12.8% and which is a decrease in absolute term of less than 4%. This is something I just wanted to mention. And of course, we are significantly above our guidance that we gave last July. Next slide, please. Yes. On this slide, I just wanted to classically explain you what is the currency effect that we suffered this year, it was negative. Mainly due to the Latin American currency, the Indian rupee and to a less extent, in the second part of the year, the U.S. dollar. I just wanted to highlight also that like-for-like growth correspond to close to €600 million that has been delivered again this year. Knowing that, to make it simple, we lost more than €100 million from TLS. So this growth of €600 million has been done with a negative figure coming from TLS, around €100 million, a little more than €100 million, and that's something that I just wanted to point out. If we move to the next slide. Again, this has been presented by Daniel a minute ago. I just wanted to stay a minute to show that we have been able to deliver good growth in January, February. Of course, March to end of May, we had some site shutdown, travel bans and everything was totally disrupted, and upturn in growth appeared starting in June. And as you can see, there was an acceleration in Q3, as you remember, and we absolutely explode in Q4. Just to give you the figure. In Q1, we were at plus 6.2including the last 15 days of March were negative. In Q2, a plus 3.8. In Q3, we went to 12.3. And in Q4, as you know, 23.3. That's just to give you the pattern of the year, and this is, of course, promising for the beginning of 2021. If we move now to the next slide, this is a classical slide that you know. But I just wanted to stop on it just to show how this group has changed over this year. Of course, the global accounts are now representing 50% of the group revenue, meaning that the global account, accounts in which we are serving for at least 2 countries, maybe significantly more for other. And what we call the e-client are now more than 25% of our revenue, which is up first 250 clients. It shows how much the group has changed over the year. Of course, a 90% of these clients were served from home solution at the heat of the crisis. And when you look what happened, of course, from pay TV and telco versus 2013 but also when you look at health care, the financial service, public sector, the media and entertainment are growing so fast. It show how much in match with what has been told to you about the different new clients that we were able to serve all along this year.  Next slide, please. I just wanted to stay a minute on this slide just to show what happened from H1 to H2. Of course, you'll find on the slide, on the linked part of the slide, the full year figure. You'll find the €764 million and €735 million this year, which is a decline of 100 basis points. But if you look in detail, all of it is coming from the first half. Because the first half, you saw that we moved from 12.8 to 9.5, sorry, while we were able to deliver the same level of profitability in margin in percentage in H2. This is absolutely noticeable.  Knowing that, in the meantime, and I'm coming on the right side of the slide that we have been able, we have been able to do that while we have spent €45 million to protect employee and deploy work during the full crisis. It was roughly split H1, H2 the same way. But we experienced this €45 million of cost to cover to deploy the work-at-home across the world in this group for the full year.  There are some positive stuff that's happening for rent reduction and various government support, but they are still very minimal, while we have been also able to continue to follow our receivable and the write-down on receivables are only €4 million. So what is the most important thing to notice there is not only we have been able to deliver a good figure for the full year, but we have been able to deliver a very good figure for the second part of the year while being obliged to cover some cost for the work-at-home deployment plus, and I'll come back later on that, plus the fact that TLS was totally down all along the year.  If we move now to the second, to the following slide, it gives you the figure by quarter and by region versus last year and also for the full year. What is most interesting things to be told there is that in this quarter, everything go green. The core service grew by 26% and the specialized service, which was largely affected last quarter by TLS, start to come back to a positive figure with LLS. I'll come back in a minute to that. Of course, you have noticed that CEMEA is delivering a fantastic figure.  I'll come back later on that. But what is interesting, too, is to see that India and Middle East came back on green and Ibero-LATAM is continuing to deliver a good growth as it did all along the year. And EWAP also delivered a good growth even if we knew that some people were moving their business from Philippines to Colombia and had an impact on them. And finally, on specialized service, TLS is still down between 70% and 80% each year, but LLS has been able to swallow that and to deliver a fantastic growth, as you can imagine.  Coming to the next slide. Just to give you the margin by region and for the H2 that shows that everything went well. The core service move from 13.3 to 14.3 in terms of margin rate, which was absolutely massive. And it came of course from Ibero-LATAM, from CEMEA that grew dramatically in terms of -- not only in terms of volume but also in terms of percentage. And on the fact that India and Middle East, given the decision we took, came back to a very, very high level of profit, delivering close to 21% margin in H2 2020. The specialized service is, of course, down, given what we experienced with TLS. The impact of the shutdown of TLS in margin is close to €80 million this year, just to give you an idea. And finally, the group was able to deliver on H2, the same figure than last year. If we move much more in detail in each zone, in EWAP, we knew that we are back on track on the growth in Q4 with a 15 -- close to 16% growth and 6% like-for-like growth for the full year. And in EBITDA, that is still affected by the impact of Philippines, by the very tight restriction of movement of Philippines. But back on track, in U.K., in China, in Malaysia, and is promising for the future. If we move now to the next slide, Ibero-LATAM, I would say, little to say. They continue to experience a growth that is between 25 and 27 even in Q4. This is absolutely amazing. While the EBITDA is also -- well, the EBITDA, sorry, is also increasing in H2 versus last year. Everything is okay. Most of the people have moved from -- to work model, as mentioned earlier on, and to serve numerous new contracts with e-client, notably in fintech and the main drivers are, of course, Colombia, that start to be a big operation, Mexico, Portugal and Spain. And you see that there is a sharp increase in recurring EBITDA in H2 from the prior year period. If we move now to Europe. Europe is there, sorry. So you have a 50% increase like-for-like growth in Q4, meaning that we are going to deliver a 23% like-for-like growth for the full year. And the margin consequently grew dramatically in '20, in second half from 10.4% to 13-point -- 13.3%, reaching close to €100 million. Where does it come from? It's come from new contracts signed before the crisis and brief sale operation; deployment of COVID to support service government, notably in Netherlands, but also in France, in Germany and in other country. And we saw that the improvement of the profitability in H2. If we move now to India and Middle East, as I told you, back on growth in Q4 after a difficult period in the first half, which was I would say, managed because we decided to reduce domestic operation that was not sufficiently profitable. And we had, of course, a lot of disruption linked to the COVID. So we are back on track in Q4 and we see that the margin in H2 are significantly improving, given the decisions that we took all along the year. Finally, specialized service, of course, there is an impact of TLS, as I told you, you have a decrease on a full year basis, which is beyond, which is less, sorry, important that the decrease of the sales of TLS. But we are back on growth in Q4, while the recurring EBITA is, of course, a little down versus last year. If we move now to the other part of the results, 2 things to tell. There is nothing new in fact on what you saw. You have the performance share plan and the other which are mainly nonrecurring noncash item. Of course, the performance share plan is purely accounting. And the other are mainly the write-down of the goodwill of the -- mainly linked to the French-speaking market that was done already in H1.  Next slide, please. Two words about what's happening below the operating profit. Below the operating profit, you have the financial results, that seems to be stable. And in fact, you have a decrease of finance charges by €10 million, which is mainly due to the fact that we have been able to manage properly the financial charges. Of course, we have less gain, foreign exchange gains that we had last year that explains the stability of this figure. More surprisingly, maybe for you, is the income tax. 2 things to be told there. There is a mix effect, which is linked to the fact that we experienced good results in country in which we have a higher tax rate more than last year, meaning that Colombia and Greece, we are doing well, while Philippines and Tunisia were less good than the previous year. While in the meantime, you have the effective tax rate, which is impacted by the impairment charge on goodwill. Without that, we are much more between 28 and 29.  Finally, the net profit is at €324 million, and we decided to propose to maintain the dividend at the same level. Just a word that I'm going to tell you about the cash flow, which is something on which we can be proud. As you might remember, last year was not fantastic in terms of working cap in cash flow and it impact our cash flow. We decided to change -- to put a much more focus on that this year. So not only we have been able to reduce the CapEx to 4.4% from -- of revenue, of which a significant part is coming from the switch from brick-and-mortar to work-at-home. But also, we have been able to, I would say, to pay a specific attention to our receivable despite the growth that we experienced -- we experienced, sorry, and we have been able to release a lot of cash from our receivables that were trapped last year. And we are able to deliver this year a cash flow that is close to 400 -- to €500 million.  If we move to the next slide, and the next slide, sorry, because what is interesting is that in this year, we have been able to repay debt by close to €400 million. Of course, it's before the Health Advocate acquisition that is going to happen next year, while continuing to invest. And that's something that is interesting that the group is now at a good level of debt. If you take the pure debt, financial debt versus EBITDA, we are below 2 and credit rating has been confirmed last year by Standards & Poor's. Firstly, in April, but also after in November when we announced the acquisition of Health Advocate. So that's where we are today. Final word on the debt. The cost of the debt is 1.4% versus 1.7% last year. And it's going probably -- not probably, certainly going to continue to decrease in 2021. The average maturity of the debt is 4.2 years. We are using different source. We are well protected against potential increase in rate. And as you may know, and you may remember, we have issued a bond last November to cover the acquisition of Health Advocate. That is in pocket, if I may say, and we are ready to finance this acquisition. Lastly, dividend. Dividend maintained in absolute term as proposed by Daniel a minute ago by the Board. Of course, it's increase in payout ratio because the net result has declined, but it is mostly due to the noncash charges that we are -- that we experienced in the last year. If we move now to the outlook, as mentioned by Daniel a minute ago. So we are announcing to the market that our like-for-like growth will be at least 9% in 2021, probably much more important in first half than in second half. We will deliver at least an EBITDA margin of 14%, and we hope to integrate Health Advocate during Q2 2021.  That's what I wanted to let you know about the figure, and I'm now -- like probably Daniel, open for the questions that you may have or you might have. Thank you. 
Operator: [Operator Instructions] Our first question comes from the line of Edward Stanley from Morgan Stanley. Go ahead with your question. 
Edward Stanley: Congratulations, it's quite a performance. I've got 3 questions, if I could. Firstly, what does your margin and growth guidance assumed for the TLS recovery? Or are you not really assuming anything for TLS recovery in that 9% like-for-like and 14% margin? The second question, I've already had a few questions from investors about how much of your revenue in 2020 was linked to COVID contracts that may drop away in 2021 and what the duration of those COVID contracts are? And the third question, it looks like 20% or so of your CapEx came from ramping up work-from-home, that I presume that €49 million of cost to get work-from-home agents setup won't recur in 2021. So I'm just keen to know what your -- what you think your steady-state CapEx to sales is for the business? And if you've had more thoughts on how many staff you think are staying at home long term, please? 
Daniel Julien: I'm going to answer to the first 2, and Olivier is going to answer to the CapEx. First, regarding at TLS '21, we are not expecting a great recovery of TLS in '21. We think that the business travel and the travel in a general way is going to really pick up again around '22. What we are in '21 is a conservative approach on TLS, on which we know we are going to less significantly less money than last year because we have trim the SG&A but just in a way to keep the tool solid to operate and restart because it's not going to last forever. I always say TLS is a super horse. It's not because it's sick for 2 weeks that we are not going to help the horse to recover. This is what we are doing. We do not put any strong positive expectation in revenue or results in '21. Second, COVID. In '20, somehow, we have a pretty balanced impact of the positive coming from the COVID services, UK and Europe mostly, with the negative that we got from TLS, the travel industry and the hotel business. Now in 2021, our COVID service continue to exist and will continue probably during the whole first half to ramp down probably during the second half. But at the end of the day, it should not create any specific disturbance in Teleperformance trends because, in fact, it's an effect of balance. When we are going to have less COVID support, we are going to see the hotel business and the airline business picking up again.
Olivier Rigaudy: If you, you hear me? I'm going to answer on the CapEx. Of course, you're right. We are not going to have the same level of CapEx on switching the workstation from brick-and-mortar to home. But there are still CapEx that will be paid for security or some -- and for some growth. On top of that, you have to, you have to remember that we are going to spend some CapEx for the GSS business that has been awarded to TLS, and that could explain a part of the growth. But as a whole, you are right, is probably the level of CapEx in 2021 will be in percentage lower than it was in 2020. We are going to open less new station and that brick-and-mortar station, and that could have an impact, yes.
Daniel Julien: For the ones who don't know what is a GSS business, excuse me, it's the significant contract for Visa services that we co-sign for the U.S. Government on which we have CapEx ahead of results. We are going to have probably significant CapEx in 2021 when we are going to have the activity much more in 2022, '23, '24, '25, '26 and so on.
Edward Stanley: Okay. Can I just, can I follow-up very quickly, it looks like in your press release that you're adding in some work stations into existing sites. And I just wonder, obviously, that is you forecasting that you will bring some of your staff back to the office. I think in the past, you've said you aim to keep maybe 40% or 50% of staff working at home. Is there an updated number for that proportion of staff that you expect to work from home long term? 
Daniel Julien: Honestly, today, it's still a kind of moving situation. We are already set up the profile of the operation with some of our clients, not all. We are targeting to have more or less post-COVID, 50% brick-and-mortar and 50% work-from-remote. But it can be 40-60 or 60-40. We have to be humble at this level today because the behavior of the people and their decision criteria can vary very significantly. And it depends also of the individuals who are at the end of some of the companies.
Operator: Our next question comes from the line of Sylvia Barker from JP Morgan. 
Sylvia Barker: I was just wondering, out of the, the 50% growth in CEMEA in Q4, could you just comment roughly how much of that was contracts kind of ramping up? And how much was the incremental COVID work? First question. Then secondly, on the COVID-related costs, they are basically the same in H1 and H2. So just wondering, I guess, some of them related to a move to working from home. So what are the costs in the second half? And will all these costs kind of fall away into '21? And then finally, just coming back to TLS. Sorry, did you move about €30 million in 2020, if my math is right? And do you now expect basically breakeven in '21? Is that how we should understand your comments. 
Daniel Julien: I was not able to hear very well, so Olivier, I'm going to let you answer. 
Olivier Rigaudy: Thank you. No, no, me too, it was difficult. For the growth that we had in CEMEA, a part of the growth is coming, of course, from contracts that have been ramped up before, notably in Greece, notably on the multilingual hub, and there are some COVID line too. So it's a mix of those. Daniel mentioned that the COVID line was roughly, the COVID government was roughly equal to what we lost. It's true on the full year. It might be a little different from quarter to another, of course, but that's part of the reason, but that will continue later on. Not sure to happen. 
Daniel Julien: And the point, Olivier, is, to be fair, is that, yes, the COVID business magnifies the result of Europe, when the problems in the hotel and aviation deserve the business in EWAP. 
Olivier Rigaudy: That's true. I'm not sure to have understood your second question, sorry. Can you repeat it? And maybe to be a little far from your microphone, please? 
Sylvia Barker: Sure. Can you hear me better? 
Olivier Rigaudy: I'm sorry?
Sylvia Barker: The second question is on the COVID costs. So that €45 million, split evenly in H1 and H2. So just trying to understand, as a volume related to working-from-home setups? Or are the costs for H2 turnover and should we assume on that fall away in 2021?
Olivier Rigaudy: I'm really sorry, but I've had time to understand what you said. Communication is a really bad. Yes. Maybe I would suggest you to send us your question by e-mail. I'm trying to answer quickly after. But I have hard time to understand your second question. And the third one, linked to TLS, which is -- which I believe was linked to TLS, but I'm not sure to have understood the fundamental question that you raised there. Can we move to another question, please?
Operator: Our next question comes from the line of David Roux from Bank of America.
David Roux: Just 2 questions from my side. Firstly, on new contracts, there was some very strong progress made in closing new contracts in 2Q and 3Q of 2020. I was hoping you could talk a bit about the contract wins in the fourth quarter, if any? And also how you see the pipeline on potential new contract closures going into the first quarter? And then my second point is just on digital revenues or the sort of former D.I.B.S. business on Intelenet, can you perhaps talk about how much that is now contributing to overall revenue? Just to be clear, that is different from the sort of new retail percentage of 26 that you presented? Just those 2 questions, please.
Daniel Julien: Okay. First, the pipeline, the whole business development activity in 2020 has been very strong and at the end of 2019, also, that's the reason why, because between the time we sign a contract and with the time we started to really be at significant level, you typically have 6 to 9 months. So it's not what you see in 2020, it's not just a result of what has been signed in 2020, it's partially for what has been signed in the first 3 months of the year. But afterwards, it tend to manifest itself the year after. The pipeline in 2021 is very strong. We do not have one ounce of anxiety on our pipeline. Now regarding Intelenet, what is important to understand is that the policy of the Indian government -- the confinement policy of the Indian government has been extraordinarily tough in March in April and May. And we had a lot of our centers totally closed. And in India, like in the Philippines, it's a little bit more difficult to have the employee working from home. We have a very significant percentage working from home, but you do not have the same level of home equipment in broadband, for example, that we may need. Having said that, the India business has been, I would say, has been very positively contributing to the group. First, because besides the numbers, what we have acquired the day we acquired Intelenet was a very advanced digital business and a very strong knowledge service activity. And it's not by chance that we decided to promote the CEO of Intelenet to become the global presence of business transformation and I can tell you that what the group has got from India is much more than the Indian reason themselves and probably part of the explanation of our great success in business development comes from the sophistication and the character -- the hybrid character of the solution that we propose to the client. 
Olivier Rigaudy: I got the question from Sylvia back here by in written, so I can answer them. About the first one, which is there is a question relative to the cost of COVID that are split roughly the same way between H1 and H2 that surprised a little. This is not exactly comparable because in H1, you had some first, cost linked to the panic, for the first reaction. Plus the cost of the masks because we bought 7 million masks. I'm sure you remember, and we have all these cost incurred in the first half. While in the second part of the year, there was much more of the growth linked to the volume of the business that is -- that we have experienced. One thing, these costs are not away, are not -- yes, some of them are continuing. Because as you understand, there are still people, less, but still people working in our site. And we still continue to clean them on a regular basis, a very regular basis. We check them. So there are some costs which are still there and will continue to be there until the pandemic is finished. So there will be again, some cost in 2021 linked to this pandemia. Second question is about the -- sorry. 
Daniel Julien: Excuse me, but also we are strengthening and spending quite a lot of money in data security. We are opening 2 data securities center, one in Manila, one in Greece, to have a full endpoint control 7 days a week, 24, 24. I mean, the strategy that we took in terms of data security and that is going on is more or less equivalent to what you would expect from the data security team of a bank. 
Olivier Rigaudy : Yes, sure. And second question is about the result of TLS. You were betting on a result of €45 million on pre-COVID, meaning a loss of 30 -- 25 to 30. This is not totally stupid. And our expectation for 2021 is, of course, we hope that this company will be able to breakeven. -
Daniel Julien: Yes, at best. 
Olivier Rigaudy: At best. 
Operator: All right. Our next question comes from the line of Suhasini Varanasi. Suhasini, please ask the question.
Suhasini Varanasi: Hi, thanks for my question. 2 from me, please. If I think about the revenue guidance for 2021, at least 9% like-for-like growth. If you reduced the exit rate in Q4, which is over 20% for first half, you can easily get double-digit growth in and zero percent growth for second half of the year. So can you maybe talk us through what you're expecting in terms of second half expectations drag from any contracts or just tougher comps? And why the growth should not be a little bit higher? And second one is on the cash flows. You did see some benefit from postponement of social security payments. Can you quantify what that was, please? 
Daniel Julien: Yes. I'm going to answer the first question, Olivier second one. But I love your question. I recognize the optimism and the positivism of the Indian culture. I'm from the whole world, and I know something is that the world is not just heaven. So when I'm at the beginning of the year, I know that there will be always something bad that I don't know that will happen and that I better integrate. Otherwise, the market is going to kill us. So yes, there is a possibility to make more than 9% organically, but 9% organically is the highest beginning of the year guidance that we have ever given. So let us see what's going to be the first half, and then we are going to discuss again. 
Olivier Rigaudy: Notably, reference base for H2 this year is going to be higher. Last word on the cash flow, there are some costs that have been delayed, notably in U.K. and in U.S. social charges. The total amount is in the range of €20 million, €25 million. We hope to be able to swallow that in 2021 in terms of cash flow. 
Operator: All right. Our next question comes from the line of Nicolas Tabor from Stifel. Nicolas please ask question. 
Nicolas Tabor: Great. The first one is on TLS quickly. Can you give us an idea of what's the level of, let's say, revenue decline in Q4 so we understand if it's almost closed or is there still some revenue stream there? And then can you update us on the end of the bidding process for the GSS contract and what timing of revenue ramp-up we could expect, if that's possible? And then on the, coming back on the organic growth evolution into 2021, I mean, as you are increasing your exposure to the e-economy, which seems to be growing very fast, isn't there a likelihood that if this trend continues as your exposure to this fast-growing market expense, then should also have a normative acceleration of your organic growth? You used to always show as this 8% average organic growth graph in the past years, I remember. So is that something that should accelerate versus this historical normative?
Daniel Julien: So TLS was not closed, and the team of TLS are doing a lot of work of process optimization and R&D right now. But TLS is still losing money month per month. That's the point number one. The point number two, we already said it, we aim to have a balance, I mean, to be at 0 in 2022, if we are more, welcome. If we are a little bit less, it will not be a disaster. We know that we have a very solid business, clients who appreciate us and they appreciate us even more today because they know that we remain open. We continue to deliver the service while losing a significant amount of money. And yes, there is the GSS master contract that has been awarded to a pool of 2 companies, of which we are one of them. We know the value of this contract. Its multiyear contract, and we do not expect to record any money, any revenue on this contract before 2022. Now on the growth, should it be more than 9%, less than 9%. The fact that we are with the e-commerce goes very well, yes, for sure. As long as the e-commerce company do not go bankrupt. Remember, if I remember well, there was a super e-commerce company that had an incredible value. A few months ago, it was called WeWork and how it has finished. So frankly speaking, we are reasonable people and we do not disappoint and we achieve better than the average of the market. And more or less, we achieved the double than the average of the market. So we are not going to have a philosophical debate to know if it should be 9% or 10% or 11%. It doesn't make sense when you are in February.
Operator: We have another question from the line of Daniel Hobden from Credit Suisse.
Daniel Hobden: A question just one left from me, please. It's around the growth, not around the number. It's around where the growth is coming from. Are you seeing structural growth opportunities coming through from new clients looking to outsource? Or are you winning your work from your competitors?
Daniel Julien: A little bit of all. We are gaining share of wallet in many of our existing clients. We are winning new clients from some competitor. And we are also a kind of significant rebadging dynamic, what we call rebadging dynamic is taking business that was in-house and managing it. I really think that when you look at all the business analysts, they say that last year was, is flat or very little growth of the market. So obviously, we won market share. And yes, we won new clients that were not usual outsources in the different regions. This helped but I'm unable here right now to quantify what is the percentage of each. When I say I'm unable, it's because I don't have the numbers just right in my mind. 
Olivier Rigaudy: I think we have a last question. 
Operator: Our final question comes from the line of Laurent Gelebart from Exane.
Laurent Gelebart: I have a couple of questions. So the first one is you are mentioning that you want to expand your addressable market to tap more broadly in the BPM market. Could you let us know where exactly you want to develop? And do you need M&A to enter those new segments? That's the first question. The second question regards automation. So where do you stand with the road map of automation for the company, notably developing Internet solutions across the globe? And are in terms of use, but rollout for the company. 
Daniel Julien: Okay. So the addressable market. The reason why we have an acquisition policy is exactly the reason why the USA at the beginning of the 20th Century had very open immigration policy and melting pot policy. When we acquire a business, we want to acquire a business that is a complementary expertise from what we have. So yes, the extension of the addressable market come from the fact that we present more sophisticated solutions to our clients, clearly, and that we are much more proactive in the partnership with our clients. But the shortcut and the speed, even if it has a cost, but it's more certainty comes also with the acquisition, like the one of Health Advocate. Yes, we plan to continue to make acquisition in 2021 and '22. First, to increase the percentage of the digital business within Teleperformance. And second, in the BPO environment, you have what we call the customer experience management, but you have also the middle-office and the back-office support. And I think it's something where Teleperformance is legit to progress. There is a business in which we had no significant presence, I would say, 2 years at all where we have made significant inroads, and I think we are going to continue to make significant inroads, which is the trust and safety platform monitoring for the social media, for example. And in that case, it has been without acquisition, it's all on ground. So the second question, the automation and the bit, we follow that in the monthly meeting of the management committee. We follow the growth region per region, vertical per vertical and is going fast. I mean, all of our regions today have achieved knowledge services, super mature. We have center of excellence, of course, in LatAm, in India and in LatAm, but today, we have built a strong team in Europe. We have been a strong team, and we continue to strengthen it in the U.S., we have a strong team in the Philippines. So I mean, again, our vision of the future of the society and of the future of Teleperformance serving the society is the world is going to bring augmented services to the individuals, and these augmented services are going to be bionic. So a mix of digital and human touch, empathy, emotional intelligence, we can call it different ways.
Olivier Rigaudy: Thank you, Daniel. I think we are over now with a question and except -- we are going to leave you and to leave you alone now. And hopefully, if you want to be in contact with the team tomorrow and the day after, we'll, of course, be available to answer all the questions you might have. All the documentation will be put on the site between tonight and Monday morning. Thank you.
Operator: Thank you for joining today's call. You may now disconnect.